Operator: Good morning, and welcome to the Bitfarms Fourth Quarter and Full-Year 2022 Financial Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note that this event is being recorded today. I would now like to turn the conference over to David Barnard, with LHA Investor Relations. Please go ahead, sir.
David Barnard: Thank you, Joe. Good morning, everyone. Welcome to Bitfarms' conference call for the fourth quarter of 2022. With me on the call today is Geoff Morphy, President and Chief Executive Officer; and Jeff Lucas, Chief Financial Officer. Before we begin, please note, this call is being webcast live with an accompanying presentation. To watch along with the slides, you can log onto our Web site at www.bitfarms.com under the Investors Presentations section. If you prefer to listen to the call on your smartphone, you can download the presentation from there as well. I would like to remind you that this morning, Bitfarms issued a press release announcing its fourth quarter 2022 financial results. Turning to slide two, I'll remind everyone that certain forward-looking statements will be made during the call and future results could differ materially from those implied in these statements. The forward-looking information is based on certain assumptions and is subject to risks and uncertainties, and I invite you to consult Bitfarms' MD&A for a complete list of these. Also during the call, reference will be made to supporting slides, and you can find the presentation again on our Web site, at bitfarms.com, under the Investor Relations section. The company will also refer to certain measures not recognized under IFRS and that do not have a standardized meaning prescribed by IFRS and therefore may not be comparable to similar measures presented by other companies. We invite listeners to refer to today's earnings release and the company's fourth quarter 2022 MD&A for definitions of the aforementioned non-IFRS measures and their reconciliations to IFR measures. Please note that all financial references are denominated in U.S. dollars unless otherwise noted. During today's call, CEO, Geoff Morphy, will review our operations for the quarter; CFO, Jeff Lucas will follow with a detailed financial review, and Geoff Murphy will return for some closing remarks after the Q&A. We've requested investors to send questions in advance, which I may read to management, time permitting, after the call to analysts interested in the live Q&A. Now, turning to slide three, it's my pleasure to turn the call over to Geoff Morphy.
Geoff Morphy: Thank you for joining us today as we are excited to talk to you about our recent successes and why Bitfarms is well-positioned in the current environment to take advantage of improving market conditions. As a leading publicly traded international Bitcoin mining company, we continue to carefully assess strategic decisions regarding geographic diversification, farm expansion, miner utilization, public and private company acquisitions, and capital allocation. We have created the following key differentiators. We ensure our competitive low-cost structure by maintaining strict discipline when evaluating expansion opportunities. We seek out and source stable and surplus sources of energy with attractive pricing to continue to expand with a view to reducing our production costs. We utilize and continue to enhance our proprietary mining management software and vertically integrated electrical subsidiary to yield and improve fleet and operational efficiencies. We set the standard for KPI reporting transparency, maintain the highest standards in financial controls in reporting, and have been audited by a Big 4 accounting firm since going public in 2017. During the past year and one-half, we have built an exceptional management team. Our international team has significant experience and enables us to scale our operations without additional resources. And for the past nine months, we have [indiscernible] and continue to improve on our highly disciplined approach to growth and capital preservation, including debt reduction. We will continue these efforts in 2023 by continuing to seek out accretive and cost-effective acquisition opportunities to bring further expansion, increase cash flow from operations, diversify our international footprint, and leverage capabilities of our management team, and using our proprietary software to add immediate value. Industry consolidation will continue in Bitfarms as we have mentioned numerous times in the past, has a superior platform for this type of growth. Completing and integrating acquisitions prior to the next halving in Q2, 2024, is strategically important. Also, in Rio Cuarto, Argentina, we plan to soon overcome recent impediments and execute on a plan to fully activate our new farm with 50 megawatts of low-cost electricity, and adding well over one exahash of new production. Most importantly, this will be accomplished with very little capital outlay. On the development front, the pipeline is robust, and there are emerging opportunities that may meet our fundamental criteria for transaction growth, which we are working to realize. Now, I'll review our accomplishments since the beginning of 2022. Please turn to slide four, which shows some highlights. We more than doubled our hashrate in 2022, and increased it further so far in 2023, reaching 4.7 exahash per second at the end of February. We mined 5,167 Bitcoin in 2022, and in February, 2023, surpassed the 20,000 milestone for Bitcoins mined by Bitfarms since its inception over five years ago. We generated $142 million in revenue and $52 million in adjusted EBITDA in 2022. Our costs remain amongst the lowest in the industry. With our all-in quarterly cash cost to production lower than the quarterly average Bitcoin price, we again posted positive cash flow from operations in Q4 of 2022, which is an accomplishment as the industry struggles. We also significantly increased our flexibility and liquidity by reducing debt by over $140 million during the last nine months, and lowering CapEx commitments by almost $70 million. Slide five summarizes the status of our farms. We ended 2022 with 10 farms in four countries. We have 188 megawatts in operating capacity, 95% of which is powered by sustainable hydroelectricity, and an additional 40 megawatts of built capacity, in Argentina, is awaiting impending approvals which will allow for substantially and timely expansion, with electricity costs that we fully expect will bring down our overall corporate Bitcoin production costs. Turning to slide six, we show some of our particularly noteworthy achievements at our farms. Ahead of schedule, we successfully completed our ambitious Canadian expansion plan, increasing our hydro-powered megawatts. Specifically at our three new farms located in Sherbrooke, Quebec, we achieved full capacity of 96 megawatts under our power purchase agreement. During Q4 of 2022, at our Garlock farm, we energized 18 megawatts. At The Bunker, we energized the remaining 12 megawatts capacity, bringing it to 48 megawatts. And as planned, we decommissioned and sold the De la Pointe facility for net proceeds of $3.6 million. In Paraguay, at our Villarrica farm, we imported and installed 2,888 MicroBT M30s, which added a net 168 petahash per second at the farm, bringing the total hashrate in Paraguay to 288 petahash per second, at January 31, 2023, and improved our overall efficiency to 39 watts per terahash. The previous miners have been sold. In Washington State, we are operating 20 megawatts, and generating approximately 600 petahash per second. Farm highlights are continued by turning to slide seven. In Rio Cuarto, Argentina, there are approximately 10 megawatts currently online, and additional 40 megawatts of capacity built and awaiting approvals. We expect approval of our power permit very soon. Once we receive this approval, we can draw power under our power purchase agreement from our private power producer. Once activated, we expect this farm to benefit from the lowest-cost power across our operations. Then, when the importation of new equipment has been approved, using some of our $22 million of hardware credits, we will purchase and import 8,000 to 9,000 miners. Based on current prices of miners, we expect the [indiscernible] credit to more than cover our capital expenditure requirements to bring this 50 megawatt warehouse into full production during 2023. When complete, this will increase our corporate hashrate to 6 exahash per second for our existing portfolio. After the first 50 megawatts are deployed, we can then ascertain the timing of the construction and bailout of the second 50 megawatts on the same property with the same beneficial attributes. For a glimpse of our operations in Rio Cuarto, I encourage you to refer to the two-minute video that was recently posted to our Web site. Please turn to slide eight, which summarizes and highlights our operations and positions as we proceed in 2023. With that, I will now hand the call over to Jeff Lucas for the financial review.
Jeff Lucas: Thank you, Geoff. Network difficulty increases are raising the cost of production for everyone as new miners continue to be added to the global network and complete for a fixed number of Bitcoin block rewards, only the most efficient players will succeed. Bitfarms continues to execute tactics to maintain an efficient cost structure and strong balance sheet. This positions us for intelligent growth consistent with our strategy of carefully pursuing accretive growth opportunities. And our operational capabilities enable us to achieve the superior financial performance with efficient capital investment. I will review our mining economics, our performance, and our financial strategy. Please turn to slide nine. In the fourth quarter of 2022, we mined 1,434 Bitcoin compared to 1,515 Bitcoin in the third quarter. The difference is primarily due to the 20% increase in average total network difficulty from the third quarter to the fourth quarter. That said, over the full-year, our hashrate expansion delivered mining growth from $3,453 Bitcoin in 2021 to 5,167 Bitcoin mined in 2022, an increase of 50%. Our fourth quarter revenue was $27 million, comprised of $26 million from our mining activity and about $1 million from our Volta Electrical subsidiary. This compared to $33 million in the third quarter, reflecting a 15% decline in the average Bitcoin price quarter-over-quarter. And about 5% fewer Bitcoin mined during the quarter as the network difficulty increase offset our average cash rate increase of 13%. These factors also impacted the full-year in 2022 revenue worth $142 million compared to $169 million in 2021. Focusing on our mining economic, please now turn to slide 10. In the fourth quarter of 2022, Bitfarms direct cost of production per Bitcoin remained among the lowest reported in the industry. Averaging just under $11,100 albeit up from $9600 per Bitcoin in the third quarter of 2022. The change reflects the increase in network difficulty partially offset by greater efficiencies from our miners and a modest decrease in our total cost of electricity per kilowatt hour primarily attributable to stable U.S. Canadian dollar exchange rate. While direct mining cost did increase this quarter, our hydropower electricity costs are not impacted by volatility in fossil fuel prices. And thus we continue to benefit from stable electricity cost. As a result, our direct cost of production per Bitcoin has remained relatively steady in the ten quarters since the last having. Fourth quarter gross mining profit was $8 million or 33% of revenue compared to $70 million or 52% of revenue in the third quarter. This reflects an average Bitcoin price in the fourth quarter of $80,100 which is 15% lower than the average price of $21,300 in the third quarter. Our total cash cost of production including the direct mining cost plus the fixed cost of revenue including rent, technician salaries, and cash, general, and administrative expenses, otherwise, referred to as G&A or overhead, was $16,800. This increase of $2,300 or 16% from the third quarter was again due primarily to the impact of the higher network difficulty on the direct mining cost. Importantly, our cash cost of production in the fourth quarter remained below the average Bitcoin price of $18,100. That's delivering positive cash flow from our mining activities. From an IFRS reporting standpoint for the fourth quarter, we reported an operating loss of $20 million which included a $29 million realized loss on the disposition of digital asset. A $23 million change in unrealized gain on revaluation of digital assets, and a net impairment charge -- excuse me, a net impairment reversal of $9 million. This compares to the third quarter operating loss of $98 million which include a $44 million of realized loss from disposition of digital assets. A $46 million unrealized gain on the revaluation of digital asset. And $84 million impairment charge to our property, plant, and equipment, and $14 million foreign exchange gain associated with funding our Argentinean operation. Our net loss for the quarter was $70 million or $0.08 per basic and fully diluted share. This compares to a third quarter 2022 net loss of $85 million or $0.40 per basic and fully diluted share. Importantly, we continue to generate cash from our operations during the quarter, and achieved adjusted EBITDA of positive $1.1 million even with low average Bitcoin prices, the industry experienced in the fourth quarter 2022. Turning now to slide 11, our balance sheet strength and flexibility continued to be our highest priority. Our financial strategy is predicated on our principles of operational excellence, financial stability, and intelligent accretive growth. This supports our key goals of prudently funding finance commitments, plan growth, and selective opportunities at a relatively low cost of capital. Our approach to financial management is straightforward. We look to utilize the proceeds from the sale of our daily Bitcoin production to fund our operating expenses, contribute to our debt service requirements, and reduce our leverage while affording us the financial flexibility to continue our growth activities. Even amidst the current period of Bitcoin price volatility, we use our ATM or at-the-market program judiciously to fund our growth investment so as to minimize shareholder dilution. Through our efforts to de-leverage the balance sheet, we lowered total indebtedness from $165 million at its peak in early June, 2022 to $47 million at December 31 and a further reduction to $23 million as of February 28. We also reduced our CapEx commitments from over $100 million for $2023 to $32 million at the end of the year. During the fourth quarter, we renegotiated minor purchasing agreements, extinguishing without penalty payment obligations of $45 million and establishing a $22.4 million credit that's available for future purchases. Combined with our completed 40 MW have built out an in place capacity at Rio Cuarto, we have dramatically reduced our CapEx financing needs, creating financial flexibility to fund further growth. At December 31, we had cash of $31 million and 405 Bitcoin valued at $6.7 million for total liquidity of $38 million. During the fourth quarter, we generated $54 million of proceeds by selling a total of 3,093 Bitcoin, 1,434 from production, and 1,659 from treasury. We received $3.6 million net cash proceeds from the sale of our de la Point farm in December, and we raised $6 million in net proceeds from our ATM program. For the first quarter of 2023 through March 20, we have raised additional net proceeds of $14 million. In the fourth quarter, we also continued to lower our outstanding debtedness. We retired our three oldest and most expensive equipment debt financing facilities for $8 million. To fully extinguish our revolving Bitcoin backed credit facility, we paid $23 million, which freed up over $8 million of Bitcoin that was otherwise collateralizing the loan and encumbered. We restructured our equipment financing with BlockFi, paying off the outstanding balance of $21 million for a settlement of $7.8 million in February of 2023. In addition to settling the BlockFi loan subsequent to quarter-end, we paid-off in full about $380,000 due to Reliz Technology Group for about $118,000. As a result, we ended February 2023 with just $23 million of total indebtedness, which is scheduled to mature by February of 2024 well in advance of the expected having date as planned when we entered into the facilities. As a result, we successfully eliminated debt obligations of over $21 million reducing principal and interest payments by $1.6 million per month or about $20 million in total. Turning to slide 12, I'll now turn the call back over to Geoff.
Geoff Morphy: Thank you, Jeff. We manage our business with 2024 having clearly in our sights. While no one can predict or control the price of Bitcoin, only the most efficient mining companies will succeed. Our performance metrics are consistently industry leading. We have maintained low direct cost of production, and we are working diligently to reduce our corporate overhead costs. Even at Q4 2022 Bitcoin price levels, we continue to generate positive cash from mining operations. We substantially reduced our debt, CapEx and monthly cash obligations. Also importantly, our debt obligations are scheduled to be fully repaid in February 2024, over two months ahead of the next having. With our existing infrastructure and $22.4 million in available credits for mining purchases, we expect to substantially cover our CapEx requirements to achieve 6 exahash per second by the end of 2023 from our current portfolio of farms. In addition, we expect a cash tax recovery in mid-2023, which will further improve our liquidity and ability to quickly execute on rising opportunities. Our experienced global management team is highly capable of finding, negotiating and integrating new international opportunities and then to design and build new farms in a cost effective manner. Having vertically integrated operations developed over the past five years continues to be a key competitive strength. We are following a path of growth with absolute discipline, and as evidenced by our track record of operating excellence, we remain well-positioned to take advantage of emerging opportunities and be a respected consolidator in the industry. Before the Q&A session, I would like to mention that we will present at the Sidoti Small-Cap Conference, being held virtually, on March 22, and 23, and the Ladenburg Thalmann Technology Expo, in New York, on April 27. Operator, we can now open the call for questions. Please go ahead.
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question here will come from Kevin Dede with H.C. Wainwright. Please go ahead.
Kevin Dede: Good morning, Mr. Morphy and Mr. Lucas, thanks for having me on.
Geoff Morphy: Hello, Kevin.
Jeff Lucas: Morning, Kevin.
Kevin Dede: Maybe a little more granularity on the Argentina situation, you talked a lot about, I guess, power authority. I'm just wondering where the miners are, because I know about getting through customs was an issue in the past. Maybe get us sort of caught up on timing there. And maybe also while you're talking to that point, address the $22 million in credit and the opportunity that affords you in shipping more miners there.
Geoff Morphy: Sure, let me start. I'll tell you about the current climate environment in Argentina. And then Jeff Lucas can talk to you about the miner credits and the CapEx anticipated for Argentina. But Kevin, we're very excited about where we stand in Argentina right now. It came with some impediments and some slowdowns last year as a result of the government and some of their fiscal challenges. But they made adjustments, and we are moving with them. So, the first situation was the power permit. The power permit, once the high voltage lines and the facility was made, they had six months to review the situation and provide approval to our private power contractor to be able to turn on and provide power to us. In the meantime, we've had to take and pay for power from the power grid at higher prices. We believe we are very soon going to approval from the government to allow our private power producer to turn on the power. And as soon as that happens, we will start benefiting from lower-cost power. As we get more miners into the facility, the costs will even get lower because, right now, with the power contractor being utility scale, they need to produce at least 26 megawatts of power, we're currently closer to 10 megawatts, before we can start getting the full benefit out of the power being taken from that facility. So, we are excited that that seems to be around the corner, and that lower costs are going to be coming into us. We expect that the second challenge was importing miners into the country, which was stalled as a result of the country's balance sheet. And they have made changes as I mentioned. And now, we are expect that probably within the next 30 to 45 days, that it will be open to us to start bringing miners into the country. And initially, that will be a few thousand, but then that will move up to 8,000 to 9,000 miners. And, fingers crossed, it looks like we should be in full production during the third quarter of this year, and that facility will be at full production, and then depending on the markets, and the prices, and the hash price, and all the other factors that will come into it. Along the way we will make a decision about implementing the second 50 megawatt warehouse that we can put on the same site with all the same favorable attributes.
Kevin Dede: Okay. So, you're hashing there now. About what level are you hashing now, and you're running completely off the grid?
Geoff Morphy: We are pulling power exclusively from the grid right now because the private power producer doesn't have the green light to turn the power on for us. So, the cost is higher because we're taking grid power. That will substantially reduce based on energy prices right now and our contract with the private power producer. So, that should be around the corner.
Kevin Dede: Okay.
Geoff Morphy: And I was remiss in my previous comment at saying that between the, approximately, 10 megawatts that we're drawing now and approximately 26 megawatts, when they turn on at utility scale, they will produce more power than we need, and they will sell that power to the grid. That tends to be at a loss to them, so we'll have to make it up. But it'll be a blended power rate that will take us down to what should be $0.03 per kilowatt and expressed in U.S. dollars, or less, once we're in production there.
Kevin Dede: Okay.
Geoff Morphy: And, yes, we're drawing generally 8 the 10 megawatts right now, and with full sites on, on drawing a full 50 megawatts later this year.
Kevin Dede: So per your discussion, Geoff, regarding the government, do you think they've sort of backed off a little bit on the custom clampdown, and do you think machines flow in with less hiccups in the future such that you can get to that 26 meg consumption more in [your term] (ph) than the full 50 in the third quarter?
Geoff Morphy: No, a different lens, Kevin. Under the former program, they provided an advantageous exchange rate, called the blue chip exchange rate; it's called a variety of things that us and a variety of other foreign direct investors were taking advantage of to bring equipment into the country. It was a more favorable exchange. But that also impacted the country's balance sheet at a time when it really didn't have the wherewithal to be able to stomach that any longer. So, it put a stop to that practice. And then it needed to bring in new channels to be able to allow foreign direct investors to invest in the country, which it's now done. And because we have been there for two years, have employees in the country, have a track record of being able to build and pay suppliers, we now have what the application required to be able to submit the application and get approval to become a director importer. When we're a direct importer, we can bring equipment in. We will pay not at the CCL or the blue chip exchange rate, but at the official exchange rate. But we will also have substantially less in [brokerage] (ph) charges to do it. They pretty much offset each other, but the best part of it is that under this new approval process, which are in the queue and we feel very strongly that we're going to get approval within the next 30 to 45 days, that we'll be allowed to be a direct importer. And while there'll still be communications with the government and smaller approvals, it's in their best interest because of the cash flows it will be bringing to the economy to approve that application, and we'll be a good corporate citizen being able to do that. We're excited for that to happen.
Kevin Dede: Okay. Now, with regard to the $22 million credit, you foresee dedicating its use to going from this 26 level you're anticipating near-term to 50 in the third quarter in terms of megawatts?
Geoff Morphy: I'll get Jeff answer that. But it'll take us from the eight to 10 that we're at now or right up to the 50, and still have some credit left over. But go ahead, Jeff.
Jeff Lucas: Yes, sure, thank you. Good morning, Kevin. So, we have right now a little under 2,500 miners that are deployed there in Argentina. And we'll be looking to approximately 13,000 for the full 50 to 52 megawatts take advantage of that. The capital costs for those miners is completely covered, and then some, as Geoff pointed out, with the $22.4 million of credit that we have there. So, in other words, we will be capping a large portion, but not the entirety of that credit to fulfill and meet our capital requirements for the miners, but fully for the first warehouse.
Kevin Dede: Okay. And that gets you to the 6 exahash target you're offering for the year?
Jeff Lucas: Correct.
Geoff Morphy: Correct.
Kevin Dede: Okay -- 
Geoff Morphy: In fact there's probably more miners than that, so that if we were given other opportunities, we should be able to flex beyond 6 exahash with that credit as well.
Kevin Dede: Well, so that's kind of where I was going. There has been some talk there is an opportunity for expansion in Washington, U.S. There's Hydro-Quebec that's offering, I think, 260 to 280 megawatts. And then I think there has been some news, out of Paraguay, with more Bitcoin miners going there. And I was wondering if you could sort of round out anticipated expansion in those geographies?
Geoff Morphy: Sure. In Quebec, which is our home base, where we have seven operations, the RFP is still there, but suspended by changes in the political government. We're still hopeful, and we continue to participate in discussions to allow that RFP to roll out in a way that's beneficial for the province of Quebec, as well as beneficial for us. We can't give you any estimate or any guidance on when that will come to play. In fact, there is some factions that would like to see that cancelled. We think we bring a considerable amount of value to the province of Quebec, and we're supported by the towns, and the mayors, and the MPs where we do our operations. And we see the opportunity to set up in towns and cities where there's a lot of surplus hydropower, employment that is necessary, skilled labor that exists for some of the forestry and mining industry. So, we're excited about Quebec. But at the moment, we can't count on it given the moves by the province to get the new rules of the RFP in place. So, that's there. Washington is a wonderful area where we had successful operations, and once again it's hydropower. And we're seeing both greenfield opportunities, brownfield opportunities, and acquisitions in that area; discussions continue. So, that's a bright spot. Paraguay; Paraguay, we were very excited about. And probably about this time last year I was telling you how excited we were for it. They've got a surplus hydro load there that we'd love to take advantage of. But since then, they brought in some rules that resulted in the tariff in that area increasing probably too much. And it seems to have poured cold water on the interest of us and a variety of other miners going to Paraguay. We think this is a mistake. In fact, I am headed to Argentina and Paraguay later on tonight to have some of those discussions with those people to try to bring some more reasonable balance to what they want in exchange for power costs per kilowatt-hour, the [delestage] (ph) or the curtailment factors, and things like that. But Paraguay, in the meantime, it's an election year. And as such, things are somewhat shelved until the election goes through. So, we don't expect really much change in Paraguay until later this year. But yes, there is one Bitcoin company that's announced that they're going into Paraguay with a 100 megawatt opportunity. And we wish them good luck. This time, last year, we were working on multiple 100-megawatt opportunities in Paraguay, and they've been put on the shelf based on some of the current announcements. Hopefully that covers some of the geographies you asked about, Kevin.
Kevin Dede: Absolutely, all of them. Thanks, Geoff. One last question for me before I turn the floor over, can we talk about mining efficiencies? You noted on the slide deck you're now at about 36 joules per terahash, I think as of February. I'm wondering, if you look across the fleet and the leftover credit that Mr. Lucas has spoken to, is there thinking internally about how you might consider optimizing machine performance to push that efficiency lower or higher, depending on your perspective?
Geoff Morphy: Exactly. Kevin, we're doing that every day. We utilize all the latest generation miners. We have an [overconcentration] (ph) of the M30 MicroBTs, but we also have the S19s. They're all very good miners. And we are able to achieve amongst the best efficiencies in the industry right now based on our software system, and our operations, and our technicians. And that comes from making sure that you have all your machines up and running, fully running, and fully optimized. And we're very good at that, and that's why we continue to achieve these great efficiencies. Now, sure, there are great sort of high-performance S19s, and M50s that are achieving even better efficiency, but they're two or three times the cost; and this has been a challenging environment. We think that you can't just take a look at the watts per terahash or joules per terahash in isolation. You need to take it combined with how well you operate your fleet and your power costs, because, at the end of the day, what you need is cash flow from operations to provide a return on investment. And I think there's a lot of other people out there that are growing for growth sake. And clearly, with our targets of 6 exahash, we're not doing that. We have prudent growth, very disciplined, because we want to provide value to our shareholders. And as Jeff Lucas has mentioned with these hardware credits, like we're able to roll at a substantial increase in production without a substantial cash outlay, which means far less dilution to shareholders. We think this is key, we think this is important for our shareholders to know that we can substantially grow without a substantial outlay. And we have been achieving positive cash flow from operations even through some pretty lean times. So, Kevin, when you look at the joules per terahash for these miners, you also have to look at power costs and take them in conjunction with that and your payback periods, and your ROI. So, that's what we do. Our computational -- at least our calculations on how to do it is a mixture of the performance of the machine, the capital cost of the machine, and then the expected output in terms of cash flow. So, it's more complicated than just looking at the joules per terahash. But when you get that figured out, you can generate good returns.
Jeff Lucas: Yes. But let me add a comment to that, if I may. We're also, as we look at ROI and payback, we're also very aware that we have a halving event coming next. And so, while a lot of our peer companies may be investing in higher performing and more expensive miners out there, I think people have to be very attuned to things that go beyond a one-year payback, recognizing that year two or year three would be impacted by the halving event which, of course, is a great element of uncertainty.
Kevin Dede: Well, thank you, gentlemen. Appreciate you taking the time.
Geoff Morphy: Thanks, Kevin.
Operator: Our next question will come from Bill Papanastasiou with Stifel. Please go ahead.
Bill Papanastasiou: Hi, gentlemen. How are you? Thanks for taking my questions.
Geoff Morphy: Hi, Bill.
Bill Papanastasiou: Hi, and congrats again on the recent efforts to reduce the indebtedness and the renegotiation of those previous contacts. My first question is related to treasury management. In the first couple of months this year, the company has maintained [a HODL] (ph) balance of just over 400 Bitcoin, but we continue to see positive price action for these digital assets. And based on financial economic outlook how it seems like things are only going to improve from here, fingers crossed. So, wondering whether you can share your outlook on in terms of treasury management strategy as we progress into 2023 with the halving in the back of our minds?
Jeff Lucas: Sure. So, let me start off with that, and then Geoff can maybe fill in as well here. We made the conscious decision last year actually to use our Bitcoin holdings to pay down a lot of our indebtedness and to -- for deleverage the company overall. We recognized and adopted the strategic intention at that point in time that we feel investors ascribe greater value to our financial performance than they do in our results simply, and to building up treasury of Bitcoin which, today, of course any investor can do on his or her own here. The important point to keep in mind going forward is that while we're looking at growing the business, we want to do so to be [accretively] (ph) and with as minimal dilution to our shareholders as possible. With that in mind, Bill, what's going to drive our treasury strategy, going forward, is utilizing the Bitcoin from production to meet, of course, our operating expenses and our debt service requirements. And to the extent it makes sense to contribute to our capital expansion plans as well. As we continue to see and if we continue to see an improvement in the hash price, that is, of course, the amount of revenue that we derive from a terahash here, we may be in a position here where we'll be generating greater post revenues above and beyond our operating expenses and our debt service requirements. At that point in time, we may give consideration to be and to build up our treasury reserves. But again, the overarching goal here is to minimize dilution of shareholders. We would rather use our assured BTC proceeds than we would actually engage in the ATM to fund the growth of our business going forward.
Bill Papanastasiou: Thanks for some great color. Just moving gears -- shifting gears to Argentina. Do you think there's more to the opportunity there, and why the team remains so bullish? My understanding is that the -- that there is significant amount of natural gas, and it trades at a discount. Can you add some more color to that? And we've recently seen natural gas prices reduce this year. And I am wondering if you are able to comment whether this reduction in natural gas could have an impact to the power cost that you'll be drawing on in the future through Albanesi or the other -- the energy provider at the site?
Jeff Lucas: Absolutely. Yes, so lower natural gas prices will help us as well as and the other miners that are describing power from natural gas or electricity. In Rio Cuarto, Argentina, the whole country benefits from the fact that, I think, it's the third -- it's a country with the third largest reserves of natural gas in the world. I think they are second or third in oil reserves as well. So, they are energy rich. And, what's also a benefit to us not necessarily a benefit to them is being in the Southern hemisphere, a long away from the population centers of the world, there is no LNG terminals. It's hard to move that oil and natural gas anywhere else. So, there is just like what we look for in hydro, surplus hydro. They have surplus energy in the form of natural gas. And, we can help monetize that which is good for the country. And, it's good for us. And, as we said in the script we expect when this facility is fully activated and it's going to our lowest cost energy of any of our sites. Right now where natural gas prices are, we think it's going to be $0.03 per kilowatt or less. It's an eight-year contract. The first four years, 60% is at $0.02 per kilowatt. And, the rest is at market prices which we do not exceed -- expect to exceed much over $0.03 per kilowatt. So, we are very hopeful that this will be sub $0.03 power which will bring our total cost across our whole fleet down, and down quite significantly. So, this is a strategically important area for us, strategically important for our shareholders. And we know it's taken longer to put in place. And it has been bit of a black cloud for our shareholders and our valuation. So, we are excited to, hopefully, pass this hurdle soon. And, show everybody that this is going to be activated in a very successful project.
Bill Papanastasiou: Thanks, Jeff. Lastly, just want to circle back to the equipment credit that Kevin was asking on and just expand on it a bit more. If I do some back of the envelop math, it appears that for you to consider $15 per terahash pricing phases, you know, you get to about 6.2 exahash of the existing 4.7 and drastically reduce the machine efficiency. Are you able to comment on whether there is a particular make that you like -- there is a -- in terms of what basics you would select to deploy into the Argentina facility? Does the credit pertain only to MicroBT, or can you purchase other types of equipments? And my understanding is that MicroBT has been a significantly utilized -- others have been significantly utilized at Bitfarms and you continue to get very high efficiencies. Just any color on there?
Jeff Lucas: You are right. It's been -- a good portion of our fleet is MicroBT M30 series miners. They are our workhorse. They have been tried and true. When they do falter, we have the knowledge at our repair shows to fix them and get back in action. And, they have amazing longevity. They are not a super higher performance unit, but they truck along with very good efficiencies, and yes, your math in terms of calculating exahash, ears some of our calculations as well. So, it really represents an opportunity, should an acquisition come along, that we can utilize that credit elsewhere, but yes, these credits are all for MicroBT units, we have the flexibility that we don't have to put them all in Argentina, but that seems to be the low-hanging fruit right now, so that's where we will go. But we're open sort of beyond that 6 exahash to putting them elsewhere as well. But as we look at expansion opportunities, we'll be happy to use the Bitmain equipment as well. As I said earlier to Kevin, it's just a mix of the circumstances at the particular site and the capital cost that goes with the miners versus their performance. And then when we make the decision.
Jeff Lucas: Bill, about 85% of our miners are MicroBT and we've had a great track record, as Geoff pointed out, and the repair record of these things is excellent.
Bill Papanastasiou: Thank you. I appreciate the color, guys. That's all my questions.
Jeff Lucas: Thanks, Bill.
Operator: And our next question will come from Dillon Heslin with ROTH MKM. Please go ahead.
Dillon Heslin: Hey, thanks for taking my question. First, I wanted to talk a little bit about Argentina again, talk a little bit about the next steps of the build out, sort of being on pause. What exactly do you think you need to see to give you confidence that you can continue to pursue that opportunity?
Geoff Morphy: We are very advanced, Dillon. The first 50 megawatt site was completed in October. It's ready for miners. All the equipment, all the IT connections, they're all in place. It's just that we had the setback from the government. Government approval changes, so as soon as we can get the miners in there and the power turned on, we're golden. And it seems that both of those approvals are imminent. So, as soon as miners arrive at site, they can be plugged into them and we'll increase our hash just like that rate up to 50 megawatt. So, really, after that, it's considering, like as you recall, we have a 210 megawatt contract there. We had initially planned on building all that out, but then when conditions in the market deteriorated, we really focused on two warehouses rather than four warehouses. So, we're really looking at 100 megawatts. So, what's happened in the industry over the last few weeks and even the last couple of months is very encouraging. If that hash price can continue to improve and the economics look good and the paybacks periods look good, we will view the timing for it to having in mind it's probably about April 30 of '24, see if we can build that facility and have it contribute to accretive growth for our operations and our shareholders. Those are some of the factors that we're looking into, but we're not going to jump into it quickly. We're going to evaluate all the variables and make a smart and prudent decision when the time comes. But the gating items are getting the power turned on at the power plant with the government approval and the ability to bring miners into the country. If we can get both of those things achieved in the next number of weeks, then we will have the good fortune of being able to make those decisions.
Dillon Heslin: Thanks, yes. I understand with what existing, I guess what I'm referring to was more so what you haven't built yet, sort of if you get what you're talking about online and the machines in like do you see any more potential hiccups that could exist with the government if you did decide to go through or you think once you get the first building online, then it's sort of a bit more smooth sailing from there?
Geoff Morphy: It should be smooth sailing. See, the power permit will allow for not just the power of the first facility, but should be the Lion's share of the second facility as well. So, that should be covered all with the power permit approval. In terms of bringing miners into the country, we think that's imminent. The government's made their changes. It's good for the government that our applications should be clear. We're able to then layer on additional applications very quickly for additional amounts to come into the country. I think over the last two years, we've learned a lot and we've learned that this is a country that's not quite as nimble as what we're used to in North America. But we have now approximately 40 people on the ground there between technicians and our regional office. And we know the system a lot better. We know the people a lot better. We were probably a bit naive to start with, but we've overcome those things. We're on the ground. The government is well aware of us and is supportive of us. So, I think we paid our dues, and now we're going to get the benefits of it.
Dillon Heslin: Thanks. And then, as a follow-up, you talk a bit about potentially looking at strategic acquisitions. Do you think that's in markets where you already operate, i.e. countries, or is it something where you're looking at net new countries, just sort of what are your thoughts in terms of something that might already be built out or something that you're just buying access to land and power?
Geoff Morphy: Let me give you a little background on that and some metrics. The beginning of 2022, we decided, because we thought consolidation was coming and acquisitions would be coming, that we should develop a corporate development group. We have three talented individuals within that group, and over the last 14 months, they have reviewed 80 opportunities in 17 countries with over 6,500 megawatts of power. We have issued 15 LOIs, we are very busy in looking at opportunities, but very disciplined at what might work for us. Often there is a mismatch of our value expectations versus their value expectations. But I think, given the tightness of the marketplace in the fourth quarter last year, the difficulty rises so far in this quarter, people have realized that this is a very challenging business and sector, and that you need industrial scale and experience to be able to do it successfully. And we are seeing better opportunities, more realistic pricing, and we are hoping that we're going to be able to complement our organic expansion with some acquisitions. And just to follow-on with your question, yes, they are particularly good if they are already in Geographies that we reside in, because we have people there that just makes sense. And there are also areas in which we know the laws and the rules far better, but it doesn't keep us out of looking at other jurisdictions that might be favorable for growth as well.
Dillon Heslin: Great. Appreciate the comments. That's it for me.
Geoff Morphy: Very good.
Operator: And this concludes our question-and-answer session. I would now like to turn the conference back over to Geoff Morphy for any closing remarks.
Geoff Morphy: Thank you. I would like to reiterate three points about Bitfarms. First, we mined 5,167 Bitcoin in 2022, placing us high in total production for the year and further validating our capabilities to scale the business. Second, we've maintained profitable mining operations each quarter as a result of our determination to maintain stable low energy and operating costs, three, we've de-levered our balance sheet. As of February with $22.4 million in available equipment credits and just $23 million in total indebtedness, we have ample flexibility to grow in 2023 organically with little capital outlay we expect to reach 6 exahash per second by year-end from our existing portfolio. And we expect that one or more acquisitions will bring us even further value to shareholders. Thank you all for attending today's conference call. We look forward to updating you with our monthly production reports as well as other developments in our Q1 conference call in May. Thank you very much.
Operator: The conference has now concluded. Thank you very much for attending today's presentation. You may now disconnect your lines.